Operator: Welcome to the Western Asset Mortgage Capital Corporation’s Fourth Quarter and Full Year 2022 Earnings Conference Call. Today’s call is being recorded and will be available for replay beginning at 5:00 p.m. Eastern Standard Time. [Operator Instructions] Now first, I’d like to turn the call over to Mr. Larry Clark, Investor Relations. Please go ahead, Mr. Clark.
Larry Clark: Thank you, Maurice. I want to thank everyone for joining us today to discuss Western Asset Mortgage Capital Corporation’s financial results for the fourth quarter and full year 2022. The company issued its earnings press release yesterday afternoon and it’s available in the Investor Relations section of the company’s website. In addition, the company also included a slide presentation on the website that you can refer to during this call. With us today from our management team are Bonnie Wongtrakool, Chief Executive Officer; Robert Lehman, Chief Financial Officer; Greg Handler, Chief Investment Officer; and Sean Johnson, Deputy Chief Investment Officer. Before we begin, I’d like to remind you that last August, the company announced that its Board of Directors authorized a review of strategic alternatives aimed at enhancing shareholder value, which may include a sale and merger of the company. No assurance can be given that the review being undertaken will result in a sale, merger or other transaction involving the company, and the company has not set a specific timetable for completion of the review process. The voice speculation, company intends to refrain from making comments related to the strategic review process until a definitive agreement has been reached or until the process of exploring strategic alternatives has ended. Therefore, as a result of the ongoing status of this process will not comment further on the process during the Q&A session following the company’s prepared remarks. I’d now like to review the Safe Harbor statement. This conference call will contain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All such forward-looking statements are intended to be subject to the safe harbor protection provided by the Reform Act. Actual results and results could differ – actual outcomes and results could differ materially from those forecast due to the impact of many factors beyond the control of the company. All forward-looking statements included in this presentation are made only as of the date of this presentation and are subject to change without notice. Certain factors that could cause actual results to differ materially from those contained in the forward-looking statements are included in the Risk Factors section of the company’s reports filed with the SEC. We disclaim any obligation to update our forward-looking statements unless required by law. With that, I will now turn the call over to Bonnie Wongtrakool. Bonnie?
Bonnie Wongtrakool: Thanks, Larry, and welcome, everyone. During 2022, we continued executing upon our plan to focus on residential real estate investments, a strategy that we have previously announced in December 2021. We achieved a number of accomplishments over the course of 2022, including completing 2 securitizations totaling $834 million of residential whole loans in the first and third quarters of 2022. These securitizations enabled us to secure $751 million of long-term fixed rate financing, which is essential to our strategy, particularly in light of the Fed’s aggressive hiking cycle, and the rapid rise in interest rates last year. We also undertook a series of actions in 2022 to deleverage, build liquidity and strengthen our balance sheet, which included selling $56 million of non-agency residential mortgage-backed securities and other securities and repurchasing our outstanding 2022 notes in full at maturity in October for $26 million. Furthermore, we received $216 million from the repayment or pay down of our core assets, residential whole loans, and the remaining $1.2 billion portfolio has continued to perform well. Less than 1% of the principal balance of this portfolio was 60 days or more delinquent at the end of 2022, which is approximately 50 basis points lower than the end of 2021. And subsequent to year-end, we fully exited our ownership position in the CRE 3 junior mezzanine loans, selling it to an unaffiliated third party for $8.8 million, which was equal to the fair value of the loan at December 31, 2022. We were able to execute these actions despite a very challenging market backdrop with record high interest rate volatility, fluctuating asset values and wider credit spreads. Our fourth quarter and full year financial results reflect these negative market conditions as well as higher funding costs. For the fourth quarter, our GAAP book value per share declined 3.2% from the prior quarter, while economic book value per share declined 10.5%. We generated lower net interest income during the fourth quarter on a smaller average portfolio and higher interest costs, partially offset by lower prepayment amortization costs and interest rate hedges. Subsequently, our distributable earnings of $2 million or $0.33 per share in the quarter were down $233,000 from the third quarter. While this was another challenging quarter, we remain committed to optimizing the value of our investments and protecting shareholder value. We are confident that we are taking the necessary steps to strengthen our balance sheet and stabilize the earnings power of the portfolio in order to generate sustainable earnings that support an attractive dividend. We continue to move forward with our strategic review process and to analyze various alternatives for the company. However, the current market environment for mortgage REITs remains challenging, given the rapid rise in interest rates and the increased potential for an economic retrenchment, which has added complexity to our exploration of strategic partners. As fellow shareholders, we are committed to concluding this process in a satisfactory manner, and we will provide an update at the appropriate time. In the meantime, we will continue to run the company in a manner that is consistent with our goal of optimizing the value of our assets and maintaining stable earnings, which will in turn support our ability to pay an attractive dividend. We continue to appreciate our shareholders who have remained with us through this challenging period. Now I’ll hand it over to Sean and Greg to go into more detail about the investment portfolio. Sean?
Sean Johnson: Thanks, Bonnie. As Bonnie noted, we were active again this year in repositioning the portfolio, adding over $400 million worth of nonqualified residential mortgages to our holdings and securing long-term fixed rate financing through 2 securitizations totaling over $800 million. We were much quieter in the fourth quarter, not adding to our residential whole loan portfolio. WMC doesn’t have the expense and inflexible pipeline commitments associated with the captive originator. This continues to allow us to remain strategic in timing in timing the growth of our loan portfolio, pricing for our loans improved during the quarter, thanks to modest spread tightening. During the quarter, origination rates on non-QM loans rose in tandem with conventional mortgage rates, creating a disincentive for many of our borrowers to refinance their existing loans. As a consequence, our portfolio continued to experience a lower level of prepayments. Fourth quarter non-QM prepayments were 6.2% CPR compared to 12.4% CPR in the third quarter and 15.6% CPR in the second quarter. As a result, premium amortization expense from loan prepayments in the quarter was $677,000, down from $945,000 in the third quarter, at an average of $2.2 million for each of the first two quarters of this year. We anticipate that higher mortgage rates will continue to keep refinancing activity in our portfolio relatively low. Our non-QM strategy has consistently been to focus on high-quality borrowers that have meaningful equity in their homes. Our weighted average loan-to-value at origination is 66% and the average FICO score for our borrowers in origination was 748. Our non-QM portfolio continues to perform well with delinquencies declining last year off already low levels, reinforcing the effectiveness of our credit underwriting standards. Nearly half our non-QM portfolio consists of adjustable rate mortgages. During the fourth quarter, more than $50 million worth of loans reset to higher floating rates, more than $90 million of current non-QM holdings are scheduled to reset in 2023 with more than $300 million resetting in the next 4 years. Our net interest margin should benefit as these loans are almost entirely funded with fixed-rate securitized debt. We remain positive on overall residential credit fundamentals. While housing is expected to cool, we do not see a significant risk of widespread defaults or severe home price correction. Inflation is likely to moderate this year, so volatility of rates and spreads should also decline. We believe that we are well positioned to benefit from spread normalization and when combined with strong and improving yields, the environment should be conducive to an attractive total return for our portfolio. Non-QM loan yields are attractive, and we will be selective and opportunistic about adding new target assets as we balance the objectives of redeploying capital and managing our balance sheet. With that, I’ll turn the call over to Greg Handler to discuss our commercial holdings. Greg?
Greg Handler: Thanks, Sean. During the fourth quarter, while spreads continued to remain wide across the commercial mortgage credit sector, our commercial holdings were only slightly impacted as the value of our commercial loan portfolio remains stable and our Non-Agency CMBS holdings experienced modest spread widening. At year-end, we held six commercial whole loans at a fair value of $90 million. Of the six remaining loans, all but one continued to perform in line with expectations. The five performing loans represent $82 million of principal balance and are currently being marked at just over $81 million, a negligible discount to cost. For certain borrowers, we have extended loan maturities in exchange for an increased interest rate, partial paydowns and extension fees, and we expect these loans to pay off over the next several quarters as properties are either sold or refinanced. However, the ultimate timing and realization of loan payoffs depends on the specific factors pertaining to each property. With respect to the junior mezzanine loan we refer to as CRE 3, as Bonnie noted, in February of this year, we fully exited our ownership position in this one, selling it to an unaffiliated third party for $8.8 million, which was equal to the fair value of the loan at both September 30 and December 31 year-end. Exiting this position frees up capital reduces the complexity of our balance sheet and will lead to an annualized reduction in management fees of approximately $1.2 million. Within the Non-Agency CMBS securities, our single asset, single borrower credit portfolio is valued at $75 million, down from $78 million in the prior quarter. This portfolio consists mainly of Class A retail and hotel properties that cater to leisure travelers, and we are continuing to see positive operating momentum at a number of these properties. This portion of our portfolio had an approximate 65% original loan-to-value and all but one of these loans representing less than $1 million of the $75 million portfolio remain current. These properties are generally high-quality assets with strong equity sponsors that we believe that their collateral values have not been materially or permanently impaired. Our CMBS conduit exposure is valued at $10.5 million, consistent with the third quarter. Overall, in 2022, we made good progress towards monetizing our commercial portfolio by exiting and pay downs of over $68 million in assets. We remain focused on this goal and intend to use proceeds for additional to pay down our recourse debt levels and to opportunistically reinvest into new target assets that continue to offer attractive risk-adjusted returns. I’ll now turn the call over to Bob Lehman, our CFO. Bob?
Robert Lehman: Thank you, Greg. We’ve provided great detail regarding our portfolio in both our fourth quarter press release and in our earnings presentation. So I’m going to focus here only on items that warrant additional attention. We reported distributable earnings of $2 million or $0.33 per share for the third quarter, down from the third quarter’s level of $2.3 million or $0.37 per share. Decline in distributable earnings was primarily driven by a $346,000 decrease in adjusted net interest income and a $50,000 increase in core operating expenses. The lower adjusted net interest income was the result of a higher sequential interest expense due to higher borrowing costs on lower average borrowings. This was partially offset by higher total interest income driven by a higher yield on total investments on a slightly lower average investment balance. We received $22.8 million from the sale and repayment of residential whole loans during the quarter, down from $41.3 million in the third quarter. This resulted in $677,000 of premium amortization, which was down from $945,000 in the third quarter. We remain focused on disciplined expense management while recognizing that we will continue to support the strategic review process and will likely incur some associated transaction expenses as a result. While our distributable earnings in the quarter fell short of our dividend of $0.40 per share. We will continue to evaluate the level of the dividend every quarter based on several factors, including our outlook for the long-term sustainable earnings power of the portfolio and our taxable income. GAAP book value for the quarter was $15.70 per share, a decrease of $0.52 or 3.2% from the third quarter. The decline was primarily driven by realized losses on a few investments that were sold during the quarter as well as modest spread widening across some of our commercial holdings. Economic book value, which reflects the value of our retained interest in the consolidated securitization trust rather than the associated gross assets and liabilities decreased by 10.5% for the quarter to $17.23 per share as the value of the retained interest we hold in the securitization trust increased at a lower rate than the value of the assets impacting the economic value of our retained interest. With respect to leverage, our recourse leverage ratio at year-end was 2.9x, down from 3.1x in early October after the retirement of our 2022 notes. With respect to liquidity, we ended the year with unrestricted cash of $18 million and approximately $27 million of unencumbered assets. During the quarter, we extended the maturity date of our residential whole loan facility to October 25, 2023, and our commercial whole loan facility to November 3, 2023. In summary, we remain focused on actions that will solidify our balance sheet and build our liquidity. With a significant portion of our assets now financed by attractive longer term financing, we feel that we are well positioned to generate consistent distributable earnings with the objective of supporting our dividend in the quarters ahead. With that, operator, we are ready to take questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Jason Stewart from Jones Trading. Jason, please go ahead.
Jason Stewart: Great. Thank you and thanks for taking the Q&A on this call. I want to start with the resi portfolio. And maybe you could update us on any delinquency transition rate trends that you are seeing currently in the Alt-A or the prime side?
Sean Johnson: Sure. This is Sean, and good talking, Jason. We – as Bonnie had mentioned in the prepared remarks, we have actually seen delinquencies decline over the last year. We continue to see healing from the COVID stresses and 60-plus delinquencies are now below 1%. And we don’t see any like underlying trends that make us concerned that, that will turn on as just the LTV of this portfolio is extremely low, FICOs are high, and underwriting standards are pretty tight. So, we haven’t been really concerned about those moving up.
Jason Stewart: Okay, got it. Maybe just one more follow-up on that part what’s your HPA assumption as you think about modeling those trends going forward?
Greg Handler: Hey Jason, it’s Greg. I will take that. We are still assuming about another 5% decline from here. So, peak home prices in June of last year, already down about 5% in the second half of last year and probably another 5% to go from here. But – when stress testing it will go out to 20%, 25%, 30% stress that just to see. But we do think that’s pretty remarkable how quickly just a 1% decline in mortgage rates really brought housing demand back into January, we saw housing activities pick back up and new home inventories are back down. So, the stress in the market seems to be pretty well contained to the, I would say, the homebuilders and maybe some of the short-term holders, but long-term holders of real estate in the environments that we target have locked in very nice mortgage rates is there if anything, we think they are going to be much more likely to want to keep that home, keep that mortgage.
Jason Stewart: Got it. Okay. And then how should we think about the management fee as you have exited some of the assets? How should we think about that going forward from a modeling perspective?
Bonnie Wongtrakool: Sure. Hey Jason, this is Bonnie. Thanks for the question. And yes, you may recall, of course, that Western did reduce its management fee by 25% last year. And that was primarily to adjust for some of our non-performing assets, including CRE 3. And now that we have sold that position for $8.8 million, our base management fees will be lower by $1.2 million on an annualized basis. Western does remain – Western Asset does remain fully supportive of WMC and has been since WMC went public in 2012, and we continue to benefit from the global scale of Western Asset platform. And I would say both WMC and Western Asset recognize the challenges that WMC basis that are very focused on addressing those challenges, reserve value for shareholders.
Jason Stewart: Yes. And I know it’s a challenging market. I mean times have certainly changed pretty quickly. But as you think about that process in terms of one, timing, is there sort of a timeframe that you could put on it? And to what would just keep Western from not buying WMC?
Bonnie Wongtrakool: I totally appreciate the question. But as we have noted, we are still in the process of reviewing our alternative. So, we can’t share anything further on that process at this point, we will definitely do that in the time it’s appropriate.
Jason Stewart: Okay. Well, thanks again for taking Q&A. Appreciate it.
Bonnie Wongtrakool: Thank you, Jason.
Operator: [Operator Instructions] No further questions at this moment. So, we are going to conclude our question-and-answer session. I would like to turn the conference back over to management for any closing remarks. Go ahead.
Bonnie Wongtrakool: I would like to thank all of you again for joining us today for the call. We do appreciate your interest in WMC and wish that you have a good day, and we look forward to keeping you updated on our progress in the months ahead. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.